Operator: Good afternoon, ladies and gentlemen. And welcome to the KCAP Financial, Inc. Fourth Quarter and Full Year 2013 Financial Results Conference Call. An earnings press release was distributed yesterday, March 12, 2014. If you did not receive a copy, the release is available on the company's website at www.kcapfinancial.com in the Investor Relations section. At this time, all participants are in a listen-only mode. Following today’s presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference call is being recorded today, Thursday, March 13, 2014. This call is also being hosted on a live webcast, which can be accessed at our company's website, www.kcapfinancial.com, in the Investor Relations section under Events. In addition, if you would like to be added to the company's distribution list for news, events, including earnings releases, please contact Denise Rodriguez at (212) 455-8300. Today's conference call includes forward-looking statements and projections, and we ask that you refer to KCAP Financial's most recent filings with the SEC for important factors that would cause actual results to differ materially from these projections. KCAP Financial does not undertake to update its forward-looking statements unless required by law. I would now like to introduce your host for today's conference, Mr. Dayl Pearson, President and Chief Executive Officer of KCAP Financial. Mr. Pearson, you may begin.
Dayl Pearson: Thank you. And thank all of you for joining KCAP Financial for a review of the fourth quarter 2013. This afternoon, I will review some of the important highlights and activities from the fourth quarter and full year 2013, providing some context for our direct lending business and the performance of our Asset Manager Affiliates. I will then turn the call over to our Chief Financial Officer, Ted Gilpin, for him to provide a recap of our fourth quarter operating results and our financial condition at the end of the year. We will then open the line for your questions at the end of the call. First, let me provide a brief recap of some important highlights from the fourth quarter. In the fourth quarter, our net investment income or NII was $0.24 per share, compared to $0.23 in the third quarter of 2013. For the full year, NII per share was $0.90 which compares to $0.93 in 2012. Our share count increased by approximately 6.3 million shares during 2013. Our fourth quarter dividend was $0.25 per share unchanged from the third quarter. I will now discuss our direct lending portfolio and the status of our origination activity. First of all, I want to provide some context to our strategy and the development of both our asset management business and our direct lending strategy. Our focus in 2012 was on closing and integrating the Trimaran acquisition and restarting it to the growth of our asset management business. Our ability to continue to issue new loan funds speaks to the success of that strategy. The next step in our growth strategy was expanding our direct lending business and its contribution to our NII. But doing so in a manner that appropriately manage the risk profile of our balance sheet. In order to do that we expanded our origination staff by adding several experienced professionals beginning at the end of 2012. We knew it will take time for these new hires to ramp up our deal flow and we began to see result in the later part of 2013. At the same time, we grew our balance sheet by using appropriate additional levers through an unbalance sheets securitization KCAP’s senior funding. This new debt was very cost-effective and allowed us to expand our senior lending activities with middle market companies. As a result, the additional levers did not result in the change in our risk profile, as you know this facility close in June of 2013. In the fourth quarter we closed on approximately $17.5 million of directly originated reference with a weighted average yield of almost 10.5%. We funded these loans with some cash on hand and it was approximately 6.5 million of, I’m sorry, subsequent high lending cash and by selling almost $11 million of placeholder assets yielding 4.4%. So far in the first quarter of 2014 we have closed or about to close an additional $20.5 million of directly originated investments yielding on average more than 11.9%. Most of these will close in March so we will not see the full impact of these investments until the second quarter. We have another $7.5 million of commitments that should close in the second quarter. Along these lines, we also continue to rotate out the placeholder assets in KCAP senior funding and reinvested in higher-yielding middle-market loans. In the fourth quarter, we invested $11 million in new senior middle-market loans at an average yield of 5.9% and so approximately $10 million in senior loans with an average yield of 3.9%. As a result of our direct lending initiatives at our continued rotation out of placeholder assets, our weighted average yield at our debt securities portfolio increased from 6.8% in the third quarter to 7.3% in the fourth. As a result of the new deals closing in the first quarter, we expect that trajectory to continue. Combined yield on our total asset portfolio was approximately 12.3% at year-end compared to 12% at the end of the third quarter. The growth of our direct lending businesses also make KCAP less dependent on income from both the CLO equity portfolio and dividends from the asset management business. In the first quarter of 2013, our debt securities portfolio contributed 21.75% of total investment income. By the fourth quarter that had increased to 36.75%, again we expect this trajectory to continue. Deal flow in the middle market continues to be healthy although pricing has deteriorated in both senior and junior capital investments since the beginning of 2013. As always, we continue to maintain our credit standards and turned down more than 90% of the transaction we reviewed in 2013. Let us now turn to our asset management business. Our asset management affiliates or AMAs began warehousing for its next CLO funds in September. And as with the previous warehouses, KCAP provided a $23 million to Trimaran to fund its investment in the warehouse. Given the uncertainty created by the rollout of Volcker Rule, the market was choppy in December and January where our asset management has continued to warehouse assets for our next CLO transaction. As of December 31, 2013, our weighted average mark-to-market value to par on our debt securities portfolio was 96 compared to 95 for the third quarter of 2013. As for our CLO portfolio, our weighted average mark-to-market value to par was 67 as of December 31, 2013, a slight decrease from the weighted average mark-to-market to par was 68 for the third quarter of 2013. Our 100% ownership of our asset management affiliates was valued at approximately $76 million based on assets under management perspective cash flows at December 31, 2013. Our investment portfolio at the end of the fourth quarter totaled approximately $441 million. Look at the composition of that investment portfolio, our portfolio quality continues to hold up well with no new assets and nonaccrual. At the end of the fourth quarter of 2013, our debt securities totaled approximately $267 million and represented about 61% of the investment portfolio. First-lien loans now represent 63% of debt securities and junior loans represent 18%. Approximately 8.5% of our debt investments are fixed rate investment of the weighted average rate of approximately 11.6%. As of December 13, 2003, we had four issues on nonaccrual status, representing less than 1% of total assets. These all relate to loans that were booked in 2007. The credit profile of our current portfolio, as I said earlier is very strong. All CLOs managed by KDA and Trimaran continue to be current on equity distributions and management fees. Four of the managed funds are now paying incentive fees to the Asset Manager Affiliates. The stable income stream from our Asset Manager Affiliates allows them to make periodic distributions to us in the form of a dividend. In the fourth quarter, this distribution was $3.1 million. Additionally, as of December 31, 2013, our Asset Manager Affiliates had approximately $3.2 billion of par value assets under management. As also, we also continue to evaluate our equity and debt financing options, which will allow us -- which will allow us to focus on continued balance sheet growth, increasing net investment income and dividend distributions. And I’ll now ask Ted Gilpin to walk you through the details of our financials.
Ted Gilpin: Thank you, Dayl, and good afternoon, everyone. I would like to start by covering some of the high level financial information and then I’ll go into a little more detail on specific metrics. As of December 31, 2013, our net asset value stood at $7.51, down from $7.96 at the end of the third quarter 2013 and down from $7.85 at December 31, 2012. One driver to the decline in NAV is our December dividend payable, which accounts for $0.25 per share reduction. As you may recall from last year, we have two dividends that are recorded in the fourth quarter, that being the third and the fourth quarter dividends which has the effects of reducing the year end NAV by the December dividend payable. This rectifies itself in the first quarter. The remainder is primarily attributable to reduction in the fair value of our asset management affiliates in the quarter of $6.4 million as the legacy CLO position continue to de-lever and since no new CLOs were closed by us in the quarter. The company declared a $0.25 distribution in the fourth quarter which is consistent with the level paid in the third quarter. Net investment income was $7.9 million or $0.24 per share for the fourth quarter of 2013, which compares to $7.6 million or $0.23 per share for the third quarter. As Dayl mentioned earlier, new originations generated from our direct lending business were the primary driver to the third quarter and fourth quarter NIII increase. Full year NIII in 2013 was $0.90 per share compared to $0.93 in 2012. At this point, I would like to review the component pieces of the net investment income for the 2013 fourth quarter. First, interest income on our debt securities portfolio for the three months ended December 31, 2013 was $4.8 million or $0.14 per share, compared to $3.7 million or $0.11 per share for the third quarter of 2013. For the full year, we earned $13 million or $14 million compared to $12.5 million for the full year of 2012. The third quarter year-over-year increases as Dayl mentioned are result of our repositioning into our higher yielding investments in both our debt securitization assets, KCAP Senior Funding and our direct lending assets. In addition, the debt securities portfolio and average investments of $216.6 million for the 12 months of 2013 versus $131.5 million for the prior year, an increase of about 65%. During 2013, the contribution of our debt securities portfolio to our total investment income grew and was 37% for the fourth quarter, which compares to 29% contribution in the third quarter of 2013 and 22% in the first quarter of 2013. Second, dividends from the investments in CLO Funds securities were $5.05 million in the fourth quarter of 2013, compared to $5.4 million in the third quarter. For the full year, our CLO Funds securities earned $21.2 million in 2013 compared with $21.1 million in 2012. Decrease in the quarter can be attributed to runoff of existing funds, whereas the full year has the affect from the runoff offset by new CLO Funds security investments. Lastly, our Asset Manager Affiliates dividends up to KCAP Financial of $3.1 million were approximately $0.09 per share in the fourth quarter of 2013, a slight decrease of about $200,000 from the third quarter due to paydowns on existing CLOs. The year-over-year increase from $4.7 million in 2012 to $12.8 million in 2013 and largely be attributed to incentive fees the Asset Manager Affiliates are receiving on four CLOs and the addition of our two new Trimaran CLOs, one of which was closed at the very end of 2012. These three revenue components resulted in total investment income of approximately $13 million for the fourth quarter of 2013, as compared to $12.6 million for the third quarter of 2013. The company recorded net realized and unrealized depreciation of approximately $6.1 million, or $0.18 per share during the quarter ended December 31, 2013, primarily attributable again to our Asset Manager Affiliates as compared to net realized and unrealized appreciation of approximately $7 million or $0.27 per share in the same period of 2012. As noted in the previous quarter, we have a new CLO in the warehouse space, which when it closes, will add value to our Asset Manager Affiliates and replaced some of the natural loans. On the liability side of the balance sheet, as of December 31, 2013, our debt outstanding was $193 million, consisting of $49 million of convertible notes of five-year term and a fixed rate of 8.325%, $41.4 million of senior notes -- notes, the seven year term and a fixed rate of 7.375% and a $102 million, net of discount of debt securitization notes on financing transactions, which is stated interest rate that resets on a quarterly basis. Based on the then current level of benchmark three-months LIBOR, our asset coverage ratio for the quarter end was 226%, above the minimum required 200% for BDCs. For additional information regarding the above metrics and for both the fourth quarter and full year 2013 results, please refer to our 10-K, which was recently filed. It is also available online with the SEC, www.sec.gov or on our website www.kcapfinancial.com. We would now like to turn it over to you for your questions.
Operator: (Operator Instructions) Our first question comes from the line of Andrew Kerai with The National Securities. You may proceed with your question.
Andrew Kerai - The National Securities: Yes. Good afternoon. Thank you for taking my questions. I appreciate the color on your direct originations and what you're seeing in the pipeline. So in terms of what closed in Q4, what you're seeing in the current quarter, is it fair to assume that the composition of that is relatively similar to your overall book meaning primarily, first lien senior secured or is that sort of weighted higher towards the mezz or more from your junior secured position?
Dayl Pearson: So, I’d split in two pieces, Andrew. I mean, the first piece is the sort of what we call the direct originations business, which is more second lien and mezz. And then second piece which is what goes in the KCAP Senior Funding that’s first lien loans, so a $17.5 million of more junior securities and then $11 million of senior loans.
Andrew Kerai - The National Securities: Great. Thank you. And then in terms of your mix of placeholder loans, do you guys found that up here in terms of just the mix or would you consider sort of a broadly syndicated lower yielding placeholder loans as of 12/31?
Dayl Pearson: Yes. We have right now in the securitization KCAP senior funding probably about $17 million in it of senior loans that are lower yielding. In addition to that, we have -- outside of that facility, we have another $37 million of liquid assets, not all of those are syndicated loans, some of those are other lower yielding liquid assets, but probably maybe $15 million to $20 million of that are syndicated loans. So all together maybe I will say roughly $30 million of syndicated loans.
Andrew Kerai - The National Securities: Great. Thank you. That’s helpful color. And then just turning to your affiliates for a second as well, so I know in the last call you had mentioned that you are kind of looking some other products just in the CLOs that you might eventually look to manage and it could boost your AUM. Have you guys made any progress on that in Q4, I guess, year-to-date in 2014?
Dayl Pearson: We’re continuing to look at those, those generally are very long lead time products, and so we’re continuing to work on those and we are continuing to work on those. But I wouldn’t anticipate that having a short-term impact, that’s one of our longer-term strategy for the asset manager. These are things that take a long lead time and a lot of played work, a lot of which we’re doing right now.
Andrew Kerai - The National Securities: Great. Thank you so much.
Dayl Pearson: Thank you, Andrew.
Operator: Thank you. Our next question comes from the line of Mickey Schleien with Ladenburg. You may proceed with your question.
Mickey Schleien - Ladenburg Thalmann: Yes, good afternoon. In the last quarter you -- in last quarter’s call, you mentioned that you thought the next Trimaran CLO may close in the fourth quarter but potentially slip into the first quarter of this year, which looks like it’s going to. But, is there a possibility it will actually slip into the second quarter at this point?
Dayl Pearson: I can’t really comment on that Mickey. Unlike in the fourth quarter, we are actually -- there is an actually ongoing private placement process, as you know CLOs are done through private placements and doing a private placement period, there is a very little that we can comment on. But there is an active process going on, but don’t really want to cause any harm to that process by commenting further.
Mickey Schleien - Ladenburg Thalmann: Okay. Taking that off the table for the moment…
Ted Gilpin: If you look at the -- really just to be clear our goal is to close a minimum of two new CLOs during 2014.
Mickey Schleien - Ladenburg Thalmann: Okay. Taking that off the table for the moment and just looking at your other CLO, your existing CLO positions, whether owned by KCAP directly or by the asset managers that are beyond their reinvestment period. As those unwind, what’s the downside to the valuation of your assets on a go-forward basis?
Dayl Pearson: In terms of the asset manager?
Mickey Schleien - Ladenburg Thalmann: No, my understanding is that as you collect cash flow on the CLO positions, either that you own or the asset managers own, you have to -- you book that to income, but also you also reduced the value -- the carrying value of those assets, maybe I’m mistaken. But if that’s the case, as those CLOs that are beyond reinvestment continued on, while I am curious, what the downside is in your valuations?
Dayl Pearson: Yes. First of all, I mean, just to be clear, the asset managers do not own any CLO security, they own management contracts only.
Ted Gilpin: What you’re talking about the CLO equity positions that KCAP owns. And yes, since that you’re writing the fact that as we received the cash, the mark comes down by whatever portion of that cash is attributable sort of to payback the principal for lack of better work. But as that approaches, it’s called that levels out and you are left with whatever the market is, what we expect to get when the deal is called.
Mickey Schleien - Ladenburg Thalmann: Okay. So how close are we to that?
Ted Gilpin: Yes. I mean, again, that’s the hard part to predict is when it’s going to be called that sort of they could be called, some of them could be already, some of them -- obviously that has been stretched out because their cash on and paying a very decent amount to the equity holders, that’s the one who would call them. So we haven’t really sort of given guidance on when they maybe called. Suffice it to say, I think when we look at it, we say there is the possibility that.
Dayl Pearson: Yes, I did takeaway as those are flattening out at this point.
Ted Gilpin: Yes, I would say we probably reached pretty close to flattening out on them, certainly the ones that have been passed through reinvestment period for a while.
Mickey Schleien - Ladenburg Thalmann: Okay. My last question just, I am curious about couple of allocations, when I looked at your portfolio and take out the asset managers and the CLO positions that you own, you have a significant allocation to beverage, food, and tobacco, and also to finance, and I am just curious what’s drawn you to those two segments?
Dayl Pearson: Well, I think, large extend, I think, it’s driven by the fact that those are tend to be less cyclical businesses and I think, and smart enough to calling about the food beverage part of it. So that’s one thing. I think the finance is the fact that that picks up our $23 million loan to Trimaran, which Trimaran then uses for its loss, so that’s sort of close loop. So I think you sort to have to back that out.
Mickey Schleien - Ladenburg Thalmann: Right.
Dayl Pearson: And then in terms of the food and beverage and I think you are going to see probably healthcare pick up in the first quarter. I think we -- again those are businesses that tend to have two things which we like and that is general lack of cyclicality and now complete the general lack of cyclicality in generally lower CapEx businesses.
Mickey Schleien - Ladenburg Thalmann: And Dayl, is that because you are concerned about the trajectory of the economy in other words, do you think we are headed for a downturn or…
Dayl Pearson: Well, I think, whether we are and I think at some point there is going to be a downturn and I think, we just, when, a leverage lender you want businesses that can weather the downturn better.
Mickey Schleien - Ladenburg Thalmann: Okay. Well those are all my questions for today.
Ted Gilpin: Great. Thank you.
Dayl Pearson: Thanks, Mickey.
Operator: Thank you. (Operator instructions) Our next question comes from the line of Greg Mason with KBW. You may proceed with your question.
Greg Mason - KBW: Great. Good afternoon, guys. First on the asset manager, you have had some nice performance fees that came in 2013? Can you give us any guidance of how those look for 2014, do any of those start winding down as some of these older funds start winding down?
Dayl Pearson: Yeah. I mean, again, we -- they would although if, when some deals get called then you get -- you might get a spike as I call, so it’s depends on the timing of that. But so I don’t think we were predicting and winding down so much in 2014. Again, with the caveat we don’t know when the calls will come or not come but I think…
Ted Gilpin: Well, there is at least one CLO that we know is going earn some sort of incentive fee but that does not get paid until the deal gets called, so we haven’t recognized any of that. So there is that as well.
Greg Mason - KBW: But I think the four CLOs that you talked about last year that ultimately got to paying performance fees, you expect those to be relatively stable here in 2014?
Ted Gilpin: Relatively stable…
Dayl Pearson: Yeah.
Ted Gilpin: Yes.
Greg Mason - KBW: Okay. Great. And then on the new funding post-quarter end the $20.5 million? Can you talk about how you have funded those new investments, has it come from these lower yielding loans you have talked about, or have you received repayments on some of the more core middle market higher yielding loans in the portfolio?
Dayl Pearson: We had very little in the way of prepayments that we didn’t want to have prepaid. So where that came from is essentially roughly $13 million of things that we sold yielding 5-ish percent, so up take of close to 7%. Then we actually had some preferred stock position that were not yielding any cash at all that we are able to sell and so, as I say, to pick up on two-thirds of that of 7% and then full 11.9% overall.
Greg Mason - KBW: Okay. Great. And then my last question is just about net investment income covering the dividend, it haven’t covered at this year and I think that’s one of the reason why your stocks yielding 12.4%? Can you talk about your thoughts on getting NII to cover the dividend on a go-forward basis?
Dayl Pearson: Again I think the trajectory is in that direction. And I think as always the Board looks over the next four quarters. So I think that, yes, we didn't cover this quarter but a penny off is not that significant. And I think our yield is moving in the right direction. And I think certainly based upon what we have in the pipeline, we’re going to have -- we should -- absent other -- actually we’re not aware of, have a pretty strong first and second quarter.
Greg Mason - KBW: Great. Thank you, guys. I appreciate it.
Dayl Pearson: And I wasn't providing guidance but just comments.
Greg Mason - KBW: Thank you, guys.
Operator: Thank you. Our next question comes from the line of J.T. Rogers with Janney Capital. You may proceed with your question.
J.T. Rogers - Janney Capital: Thanks. Good afternoon guys. I was wondering if you just, sort of, journal any update on the risk retentions rules for CLOs and how that might impact you as you look forward to next to 2015?
Dayl Pearson : Yeah, I think the whole Volcker Rule debacle in terms of its core rollout and a strategy that related to CLOs. We were expecting to have risk retention rules promulgated by 12/31 of ’13. Obviously that didn’t happen and it probably went on 3/31/14 and we don’t think its going to happen for now in the end of the quarter. That being said, I think we have some ideas on guidelines for what those are going to look like. And we have lots of discussions both with banks, counsel and others. And we think it will benefit companies like ourselves that have a balance sheet that make the types of investments necessary to grow their asset management business. So we pretty much don’t know exactly what’s going to happen but I think based upon sort of what we heard and what we’ve seen happened in Europe, we think companies that have capital will be benefited by the new risk retention rules.
J.T. Rogers - Janney Capital: That make sense. Did it limited all your ability to grow the assets under management for KDA or is it just do you have plenty of capital on balance sheet that you could support whatever piece of the CLO you needed to on balance sheet?
Dayl Pearson: I think we’ve done the analysis in terms of buying vertical strips and other things and so. And we think we can do that but that is, we will be slightly bringing down our weighted average yield in that. But one could argue also slightly bring down our risk profile of those investments as well.
J. T. Rogers - Janney Capital: Okay. Great. And then I don’t know you can talk about that, since you’re in the midst of closing another CLO. But I was wondering if you could comment on who is generally buying the CLO AAA paper, has that changed at all with the bank assessments that were put on last year?
Dayl Pearson: No, I think that’s same buyers.
J.T. Rogers - Janney Capital: All right. And then just in terms of and maybe if this is another question that you can answer this point. But in terms of the return for the equity holders, wondering how the overcharge make sense right now? And what kind of yield would you expect on CLO equity?
Dayl Pearson: We would expect something in the low-to-mid teens. So it’s probably slightly lower than a year ago but still healthy returns?
J. T. Rogers - Janney Capital: Yeah. That’s right. Okay. Thanks a lot.
Operator: Thank you. Our next question is a follow-up from line of Greg Mason with KBW. You may proceed.
Troy Ward - KBW: All right. Thank you. Hey Dayl, this is Troy. I just had a quick technical question on the schedule investments. I know there is like a name like Aramark, always used as an example. You have four pieces of that investment facility, C piece, and two D pieces and one of the D pieces is not pledged to the securitization. Is there a reason for that? Is the concentration issue that you can’t do it? And could you use that piece as a liquidity to fund the direct origination at a higher yield? Just trying to think about what is available to roll into higher yields?
Dayl Pearson : Yeah. And that’s actually we did use that, sounds something pretty end of the quarter. So that’s a very good point. No, it wasn’t really a concentration issue. It’s just we bought in several pieces and we put some of it into the facility for diversification purposes. We got to put more. We wanted to keep some outside for liquidity purposes.
Troy Ward - KBW: Okay. That’s all I wanted. Thank you.
Operator: Thank you. And with that, I'm not showing any further questions in the queue. I would like to turn the call back over to the speakers for any closing remarks.
Dayl Pearson: We appreciate everyone's time today and will be speaking to you again soon after the end of the first quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Have a great day everyone.